Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2012 Standex International Earnings Conference Call. My name is Derek, and I'll be your operator for today. [Operator Instructions] We shall facilitate a question-and-answer session towards the end of the conference. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to Mr. David Reichman from Sharon Merrill. Please proceed. 
David Reichman: Thank you, Derek. Please note that the presentation accompanying management's remarks can be found on Standex's Investor Relations website, www.standex.com. Please see Standex's Safe Harbor passage on Slide 2.
 Matters that Standex management will discuss on today's conference call include predictions, estimates, expectations and other forward-looking statements. These statements are subject to risks and uncertainties that could cause actual results to differ materially. You should refer to Standex's recent SEC filings and public announcements for a detailed list of risk factors.
 In addition, I'd like to remind you that today's discussion will include references to EBITDA, which is earnings before interest, taxes, depreciation and amortization; adjusted EBITDA, which is EBITDA excluding restructuring expenses and one-time items; non-GAAP net income; non-GAAP income from operations; non-GAAP net income from continuing operations; and free operating cash flow.
 These non-GAAP financial measures are intended to serve as a complement to results provided in accordance with accounting principles generally accepted in the United States.
 Standex believes that such information provides an additional measurement and consistent historical comparison of the company's performance. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures is available in Standex's fourth quarter news release.
 On the call today is Standex Chief Executive Officer, Roger Fix; and Chief Financial Officer, Tom DeByle. 
 I'd now like to turn the call over to Roger. 
Roger Fix: Thank you, David, and good morning, everyone. Please turn to Slide 3. We closed out a good year with another solid financial performance in the fourth quarter. Revenue for the quarter was up 5% year-over-year, with our organic sales increase of 6.5%, partially offset by foreign exchange.
 4 of our 5 groups reported year-over-year sales growth in Q4, with 3 reporting double-digit increases.
 On the bottom line, we reported year-over-year operating income increases at all 5 of our segments with double-digit increases in 4.
 Overall, non-GAAP operating income was up 16.5% and non-GAAP EPS from continuing operations was up 12.1% to $1.02 per share, a quarterly record for the company.
 On Slide 4, we identified highlights for our full year fiscal 2012 results.
 Sales for the year were up 9.2%, with an organic increase of 6.9% and our acquisitions contributed an additional 2.4% of growth, offset slightly by a negative 0.2% foreign exchange effect.
 All 5 of our business segments demonstrated year-over-year top line growth in fiscal 2012.
 Our sales growth continues to outpace the growth rates of our end-user markets, which is a direct result of our organic growth initiatives and successful bolt-on acquisitions.
 Non-GAAP EPS of $3.39 a share is a 14.1% increase over prior year and represents a second consecutive record year of non-GAAP EPS for the company.
 We exited the year in the strongest financial condition the company has ever been in. Excluding a $6 million voluntary contribution to our U.S. employee defined benefit pension plan, we generated approximately $3.40 per share of free cash flow from continuing operations for the year and finished fiscal 2013 (sic) [2012] in a net cash position of $4.7 million, the first time in the company's history that we've ever been in a net cash position.
 To put this in perspective, 10 years ago, our net debt position was roughly $145 million, so we're pleased about what we have achieved in terms of debt reduction and cash generation.
 More importantly, our balance sheet is very well positioned to continue to support our organic and acquisitive growth strategies.
 We're also pleased in the progress we made during the year on the ongoing execution of our Focused Diversity strategy, which is to focus on investing in businesses that allow us to add value and differentiate ourselves from competitors through the use of technology and new product development to provide engineered solutions to our customers.
 Throughout the implementation of our Focused Diversity strategy, we have bolstered our strategic operating groups through the execution of bolt-on acquisitions while at the same time divesting of underperforming and nonstrategic businesses.
 During the third quarter of fiscal '12, we successfully divested our Air Distribution Products business, which fell into the latter category.
 Our Metal Spinners acquisition has exceeded our expectations in the first full year of ownership. Metal Spinners, which we acquired in the third quarter of fiscal 2011, made significant contributions to both our top and bottom line performance in fiscal 2012.
 Two additional acquisition investments that we made since the third quarter of fiscal 2012 also show great promise. As discussed in our last call, we purchased a 20% equity stake in Giorik, an Italian manufacturer of combination ovens, early in the fourth quarter. And just after the close of the fiscal year, we acquired Meder Electronics, a German-based designer, manufacturer and distributor of magnetic reed switches, reed relays and reed sensors.
 Please turn to Slide 5. Our next several slides will provide you with an overview of Meder Electronics, what the additional of Meder will mean to our Electronics reporting segment and how the 2 companies fit together from a synergistic perspective.
 Meder reported sales of EUR 46 million for calendar 2011 and EBITDA margin in excess of 13%. The combined Electronics businesses will have sales of roughly $104 million and EBITDA of $17 million. We expect Meder will be accretive to our earnings in the range of $0.08 to $0.12 per diluted share in fiscal 2013, which includes purchase accounting and $0.26 to $0.31 per share in fiscal 2014.
 Please turn to Slide 6. Standex and Meder Electronics are highly complementary in terms of geography, products and industry coverage.
 Geographically, about 40% of Meder sales are in Germany, with the remaining 60% about equally split between Asia, North America and other European countries.
 Approximately 85% of Standex Electronics sales are in North America.
 Further, we believe there are significant cross-selling opportunities between the 2 companies. We plan to introduce Standex's magnetic product line into Europe and accelerate sales of Meder's reed switches, sensors and reed relays into North America.
 The combined company will also provide the opportunity to accelerate sales growth in China and the Asia Pacific region.
 Slide 7 illustrates the product mix of the 2 companies individually and then combined. Both companies have highly regarded brands. The combination of Meder's reed switches, reed relays and reed sensors, coupled with Standex's reed switch, magnetics and sensor product lines provides the global sales force with a broader suite of products and technologies.
 Slide 8 illustrates the served end-user markets for the 2 companies individually and then combined. The end markets of the 2 businesses are also complementary as Meder has been successful in penetrating the test and measurement in household markets, while Standex has established a presence in medical, as well as military and aerospace. Both companies have historically had significant market share in the automotive and general industrial markets.
 Finally, the combination of Meder and Standex Electronics results in a global organization with the ability to provide engineering support and new product development close to our customer base around the world.
 Before I turn the call over to Tom, I'll ask you to turn to Slide 9, which identifies the transformation that we've made on the bottom line during the past 4 years.
 As the global economic recession impacted Standex in fiscal '09, we initiated a major restructuring in the company. After completing this restructuring in early fiscal '10, we have focused on both organic and acquisitive growth to allow us to leverage the new lower-cost structure that we put in place.
 The company's financial results for the last several years demonstrate the impact of lower cost structure and our ability to grow the top line.
 Non-GAAP EPS of $3.39 a share reported fiscal '12 represents a 37% annual compounded growth rate and non-GAAP EPS in fiscal '09, where we reported non-GAAP EPS of $1.32 a share.
 After completing the restructuring of the company, we have focused our efforts on fiscal '11 and fiscal '12 on growing the top line through both organic initiatives and bolt-on acquisitions.
 During the past few years, we've been able to grow the top line at an annual compounded rate of 10% per year.
 Our strategy for fiscal '13 and beyond is to continue to leverage our cost structure through both organic and acquisitive growth.
 With that, Tom will discuss our fourth quarter results in some detail; after which, I'll discuss the recent performance of each of the business segments. Tom? 
Thomas DeByle: Thank you, Roger, and good morning, everyone. Please turn to Slide 10, which summarizes our fourth quarter results.
 Net sales for the fourth quarter increased 5% to $169.8 million from $161.7 million in the fourth quarter last year. Excluding special items, operating income grew 16.5% to $19.2 million from $16.5 million a year ago. Adjusted EBITDA grew 13.4% to $22.8 million.
 As Slide 11 illustrates, net income from continuing operations for the quarter includes post-tax $0.2 million of restructuring charges, $0.3 million of acquisition-related expenses and $0.8 million in nonrecurring tax benefits. The fourth quarter of 2011 included $0.2 million of restructuring charges, $0.4 million of acquisition-related expenses. Excluding these items from both periods, non-GAAP net income from continuing operations increased 13.9% to $13.2 million.
 Earnings per share from continuing operations, excluding special items, grew 12.1% year-over-year to $1.02 per share, which represent the first time in our history we've delivered more than $1 of EPS in a given quarter. 
 Slide 12 reviews our full year performance. Operating income from continuing operations for the fiscal year includes special items -- including special items was $64.6 million compared with $55.3 million last year.
 Excluding special items, non-GAAP operating income increased 11.5% to $62 million.
 Our full year bridge outlining special items is on Slide 13. 
 Net income from continuing operations for fiscal year 2012 was $46.9 million or $3.67 per diluted share compared with $38 million or $2.98 per diluted share last year.
 Net income from continuing operations, excluding special items, increased 14.8% to $43.4 million or $3.39 per diluted share.
 Turning to Slide 14. Net working capital for the fourth quarter was $110.4 million compared with $115.1 million at the end of Q3 and $102 million at the end of Q4 last year.
 Working capital turns were 6.2 turns for the quarter compared to 6.3 at the end of Q4 last year and 5.3 at Q3 fiscal 2012. Management continues to focus on execution in this area with target working capital turns of 6. 
 Slide 15 shows our historical progress in debt management. The quarter ended at negative 2% net debt to capital and is the first time showing a net cash position since the company's inception.
 We believe we are well positioned to grow the business through organic initiative, investing in productivity improvements and bolt-on acquisitions.
 Please note that our cash position does not, however, include the $40 million we paid for the Meder acquisition, which was completed after the close of the quarter.
 Looking at Slide 16, we had free cash flow from continuing operations of $28.6 million during the quarter. Cash spent on capital expenditures during the year were $9.9 million.
 I would also note that our net cash position included a voluntary contribution to our pension plan during the quarter in the amount of $6 million. Including this adjustment, cash conversion of free operating cash flow was 212% of net income for the quarter and 92.7% for the full year.
 Turn to Slide 17 and I'll review our priorities for capital spending in fiscal 2013. We project the CapEx to be $13 million to $16 million in fiscal 2013, amortization to be $4 million to $4.5 million and depreciation to be $12 million to $13 million.
 We increased our capital budget for this fiscal year to allow us to fund a number of top line growth and productivity improvements.
 For example, in Food Service, we have planned an investment to improve productivity in metal forming. In the Engraving Group, we will be funding the start-up of new mold texturizing plants in India and South Korea, along with further investments in globalizing the use of our digital technology.
 In Electronics, we have initiated the construction of a new and larger manufacturing plant in Mexico. We believe that many new customer products we are launching, coupled with the Meder acquisition, will necessitate more low-cost manufacturing capacity in North America for the group.
 In addition, we will complete the investment to expand the production capacity of our reed switch factory in the U.K.
 In Engineering Technologies, we will make significant investments by acquiring 2 large CNC-operated spin lathes, which we believe will provide us with both reduced cost and significantly enhance production capabilities.
 And finally, in Hydraulics, we'll be expanding the capacity of our Chinese manufacturing facility.
 Going into 2013, we believe we face a couple of key challenges. First, we are projecting a $2.6 million increase in our pension expense in fiscal 2013 over fiscal 2012 or about $0.13 negative impact to our EPS.
 Next, in addition to the soft economy, the European economy, if the euro stays at the current level, we expect the foreign exchange will have a negative effect on our results in fiscal 2013 with the most significant effect in the first fiscal quarter.
 Also looking ahead to 2013, we anticipate being subject to a higher effective tax rate, resulting from an increased proportion of income coming from our U.S.-based businesses.
 At this point, we are expecting the tax rate for fiscal 2013 to return to a more normal range in the range of 29% to 30%.
 Despite these challenges, we believe we are well positioned to continue our success, as Roger will discuss in a few minutes. 
 With that, I'll turn the call back to Roger. 
Roger Fix: Thank you, Tom. Please turn to Slide 19, Food Service Equipment Group, and I'll begin our segment overview.
 Food Service Equipment sales were up 3.9% in the fourth quarter and operating income increased by 11.2%.
 Our Refrigerated Solutions group performed well in the fourth quarter. Sales were strong at Quick Serve and national chain restaurant markets where we have broad penetration. We see strong demand in this segment continuing into Q1.
 Our success in the Dollar Store segment is continuing as well and we are gaining traction with a growing number of names in that marketplace.
 Our rack refrigeration product offering also continues to be very well received with interest from the consultants, large retail drug stores and some of the larger chains. This product is used in convenience stores, restaurants and other food service outlets that have refrigeration devices in multiple locations.
 Rather than a refrigeration system mounted on each device, the refrigerated merchandising cases and walk-ins are supported from a rack in one central location, which provides a more energy-efficient, cost-effective and easier to maintain alternative to supplying refrigeration to these stores. Our value line of upright cabinets and under-counter refrigeration products continue to be very well received by the dealer market and sales online have grown very aggressively since its introduction nearly 3 years ago.
 We're also very pleased with our bottom line performance in Refrigeration this quarter and expect continued improvement.
 As we discussed in our last call, the inefficiencies related to the Kool Star relocation into our New Albany, Mississippi facility are substantially behind us and we saw a good sequential improvement in operating income in that business in Q4.
 We're achieving improved productivity and efficiency and expect continued improvement going forward.
 Turning to Cooking Solutions, the headwinds that we faced in Q3 are continuing to affect our financial results. We're seeing lower sales at several of our quick serve chain customers in the U.S. and we're also still seeing soft demand from the retail grocery segment in the U.K. as a result of the macroeconomic conditions there. There continues to be improvement in domestic sales through our representative and dealer channels, but those are lower-margin sales. Our focus is on broadening our penetration of major chains in an effort similar to what we have done successfully on the refrigeration side of the business.
 On the bottom line in Cooking Solutions, in addition to the volume deleveraging and product mix weighted toward the lower-margin dealer channel, Cooking Solution margins were affected by higher warranty costs.
 Last quarter, I mentioned that we are working on a number of cost reduction and other initiatives to improve profitability. The first phase of that effort has been to improve a number of customer-facing metrics. In June, we began to see some improvement in certain areas and we're optimistic that this momentum will continue.
 In addition, our new Giorik-Steambox combination steam and convection ovens or combi ovens that we're now selling through our exclusive distributor relationship with Giorik has been well received thus far.
 Our Beverage Dispensing Pump business is also being affected by the soft economy in Southern Europe, where we are a major component in both cold beverage dispensing and espresso machines.
 On the positive side, our custom merchandising businesses are reporting solid demand, which we expect to continue.
 Please turn to Slide 20, the Engraving Group. Standex Engraving Group sales were up 13.5% in the fourth quarter year-over-year, while operating income was up 48%. Once again, we saw a broad-based customer demand on our mold texturizing business from new automotive platforms at all 3 of our key geographic markets, namely, North America, Europe and China. 
 Our global infrastructure, technology and project management capabilities are yielding market share gains at key automotive OEMs around the world.
 Our Innovent business also performed well as a result of our efforts to expand geographically and is gaining traction in China, the Asia Pacific region and Latin America.
 The roll engraving and machinery businesses, which have been soft for quite some time due to the U.S. housing market, as well as continued economic-related weakness in Brazil and Europe, were essentially flat. We believe this business has stabilized and we're beginning to see more quotation activity from our customer base.
 Overall, in Engraving, we continue to move forward with our emerging economy strategy, with a particular focus on the Asia Pacific region, China and South America. The move of our Brazilian Engraving operation into a bigger and better-equipped facility is underway and we expect it to be completed in the first quarter. As such, we'll be taking a charge related to the move during the first and second quarters.
 We also have investments planned at a fourth mold texturizing facility in India and to open our first facility in South Korea in fiscal 2013.
 Our fourth quarter results capped a second consecutive full year of record sales and profit for our mold texturizing businesses.
 Based on expected car launches in fiscal 2013, we do not expect that our automotive mold texturizing sales in the current fiscal year will be at the level of our record sales in 2012 and we expect to face negative currency headwinds, particularly in Europe.
 On the positive side, based on current launch plans, fiscal 2014 should be an even better year than our record 2012.
 Please turn to Slide 21 in our Engineering Technologies Group. Engineering Technologies sales were down 5.7% year-over-year in the fourth quarter, while operating income was up 2.9%.
 As we've discussed before, the Engineering Technologies business is highly project-based and inherently lumpy. In the year ago quarter, we reported exceptionally high levels of revenue in the aerospace and nuclear naval markets. This was partially offset by higher oil and gas sales in fiscal 2012 as a result of our Metal Spinners acquisition.
 The product being produced at Metal Spinners for the oil and gas segment is used in offshore floating production platforms used in deepwater, subsea fields located offshore of Brazil and Africa. Due to project timing, sales in oil and gas will be softer in the first half of fiscal 2013; however, we expect to resume robust sales in this market throughout calendar 2013.
 In Aerospace, we've already secured long-term orders through 2015 from the United Launch Alliance or ULA for unmanned space flight opportunities and we expect related shipments to be steady through fiscal 2013.
 We have less visibility into the manned space flight side given the government's continuing resolution funding of NASA, although we're seeing a good amount of quotation activity.
 At our legacy Spincraft business, demand in the land-based turbine market is steady, but we're not seeing a significant rebound from the current sales level to pre-2010 levels.
 Please turn to Slide 22, Electronics. Electronics posted an 11.5% increase in sales and a 34.8% growth in operating income.
 During our last call, we discussed our plans to launch a series of new customer programs that should contribute to revenue in the quarters and years to come. Those launches began with a new HVAC float sensor in Q3 and will continue through the end of calendar 2012.
 In Q4, we began the launch of new magnetic devices for medical applications and sensor products for GE Medical and GE Appliance, respectively. 
 The new sensor we have developed for GE Appliance will be going in all of their new dishwashers and will regulate water flow and temperature.
 As a result of these and other smaller programs and the recovery of the reed switch business that we discussed on the last quarter's call, we're able to report a double-digit increase in sales for the quarter. We're also seeing a robust pipeline of sales opportunities in front of us. Looking at the bottom line, we continue to capitalize on our cost reduction initiatives and we demonstrated a strong operating leverage once again.
 I discussed the Meder acquisition at the beginning of the call. I'd like to add that we spoke with a number of Meder's larger customers and they're enthusiastic about the opportunity to purchase a comprehensive suite of products from one company. We're also impressed with their distribution channel and plan to leverage the opportunity to sell more Standex products through that organization. Integration of Meder is proceeding well and we're currently focused on completing the finance and IT integration, identifying and beginning to implement specific sales synergies and exploiting economies of scale in materials, purchasing and infrastructure costs.
 Please turn to the Hydraulics Group on Slide 23. Our Hydraulics segment reported a 19.9% increase in sales and 74.4% growth in operating income. We continue to benefit from the strengthening in the North American market for dump trailer systems and our efforts to increase our market share in refuse handling applications. We're seeing good activity with new products designed specifically for garbage trucks.
 We also saw a growth from the quarter from increased sales of telescopic and rod cylinders made in our China facility to export to all of our major geographic markets. Our China facility is contributing to both sales and profit growth, and we're currently expanding the capacity of that operation to capitalize on growth opportunities.
 On the bottom line, we continue to leverage our low-cost structure and reported a double-digit increase in operating income.
 Please turn to the summary on Slide 24. Let me leave you with a few key thoughts as we begin fiscal 2013. We ended a record year with a record quarterly non-GAAP EPS of $1.02 per share in Q4. 4 of 5 segments reported year-over-year top line growth, and all 5 reported bottom line growth. This financial performance is a result of our successful organic growth and acquisition initiatives, as well as our focus on operational excellence. We've been successful in generating operating leverage across most of our businesses during the past few years and we'll continue to drive cost reductions and productivity improvements across the company during fiscal 2013.
 We exited the year in the best financial condition the company has ever been in. In fiscal 2012, all 5 of our business segments demonstrated year-over-year top line growth and our sales continue to outpace the growth rates of our end-user markets.
 Non-GAAP EPS of $3.39 represents a second consecutive record year for non-GAAP EPS for the company and we ended the year in a net cash position for the first time in the company's history.
 While we have a few headwinds that we'll be facing in 2013, namely, the soft European economy, negative foreign exchange and increased pension plan expense, we remain optimistic about fiscal '13 for a number of reasons and we have a number of initiatives that will try to balance these items. First, our organic growth initiatives have been working well and we have exciting new customer programs and new products being launched across many of our businesses. We can point to specific growth initiatives that are in place in every group that contribute positively to sales in fiscal 2012 and we expect this success to continue to build in fiscal 2013.
 We're also broadening our presence geographically in each and every business segment and many of these global initiatives are already yielding results.
 In addition to our organic initiatives, we are in an excellent position to use our balance sheet to make further strategic acquisitions which will drive earnings accretion such as the successful acquisition of Metal Spinners and our recent purchase of Meder Electronics.
 With that, Tom and I will now be pleased to take your questions. Operator? 
Operator: [Operator Instructions] And our first question is coming from the line of Mark Tobin, Roth Capital Partners. 
Joseph Bess: This is Joe Bess, filling in for Mark. First, I'd like to kind of dive into the Meder acquisition a little bit more and kind of understand if there is any operating margin expansion opportunities here given your guys' more mature distribution channel, and just to get a little bit better understanding of the charges that are expected to hit in the first couple of quarters this coming year. 
Roger Fix: Well, we definitely think there are margin improvement opportunities. We have not communicated anything specifically, so I'd like to stay away from the specifics, but clearly, as we bring the 2 organizations together, the opportunity to leverage some of our fixed overhead, I think, is there. I think the other side, as we mentioned in our script, the global purchasing requirements for the combined 2 companies give us leverage on that side as well. So I think both from the fixed overhead side, as well as in the purchasing side, there's clearly opportunities to improve margins as we bring the 2 units together. We haven't given any specific guidance on restructuring charges associated with the integration, so we'd prefer to stay away from that. 
Joseph Bess: Okay. And then has there been any discussions revolving -- involving potentially needing to downsize the capacity of the German facilities and just using your current footprint, or are you guys planning on keeping all of their facilities right now? 
Roger Fix: Yes, we very much want and need the German facilities. Our business is very much about being able to provide local support from a engineering and manufacturing standpoint. These products are typically not standard catalog product items, so we're typically working very closely with a particular OEM, be it in automotive, or be it in custom measurement, be it in medical, working closely with their engineers to design a product, and then we're basically -- I won't say line-to-line, but the ability to then service that account with local manufacturing infrastructure is very important to us. So the bottom line is we see that as one of the real keys for us because we've struggled, frankly, trying to penetrate Europe with our magnetics product line because we simply didn't have on-the-ground support and we think this acquisition obviously provides this in a pretty big way. 
Joseph Bess: And then with your discussions with them so far, how is the German region doing compared to the rest of Europe? 
Roger Fix: Interesting enough, they've not seen really any particular slowdown. The German side of their business remains good, the other parts of Europe remain good at this point in time. It's still very early days, but we're cautiously optimistic about where they're at. 
Joseph Bess: Okay, and then just last question. Given the landscape of their revenue, are you guys expecting a contraction in fiscal '13 from their fiscal '12 year, or are you expecting it to be kind of flat? 
Roger Fix: We don't expect a contraction. I don't really want to go beyond that. I mean, again, this is early days for us and they've been growing for the last several years, and our expectation is there's opportunities for future growth. We can't control the macroeconomic conditions and that's something we'll just have to deal with. 
Operator: Your next question is coming from the line of Jim Casagrande, Brant Point. 
Jim Casagrande: I wanted to follow up, you did talk about some uses of cash, I wanted to hear a little bit more about the M&A pipeline, how does that look and any particular areas you're looking. And just a follow-on then is, are you guys -- would you consider a buyback at some point, given all your cash flow generation or where would that kind of rank among your priorities? 
Roger Fix: Okay. Well, a number of questions there. Let's take the cash usage question first. I think that the company has a pretty consistent track record of using cash for really 3 primary purposes. One is to drive organic growth, and we talked about an increased magnitude of capital spending this year designed in a lot of ways on top line growth. That would really be our first priority. The next priority would be our dividend, and we see that we have historically been very consistent with supporting our dividend, trying to increase our dividend on a regular basis. Third would be in our area of acquisitions and we'll come back and visit that in terms of where we see the opportunities. And fourthly would be share buyback. Historically, our share buyback has been limited to offsetting management dilution from incentive compensation, and for the moment, so long as we have solid opportunities to grow the business both organically and through acquisitions, our priority is to grow rather than to do a share buyback. As far as acquisitions, we're really looking across the board. I think the Meder acquisition is a good example. If we see the opportunity to make a sizable bolt-on acquisition that bulks up one of our segments, we're very excited about doing that. I kind of use $100 million of volume as kind of a benchmark that gives us the ability to compete globally, particularly if we have, as we did with Meder, an increased or enhanced global presence. So we're really looking across the board at all the business units and we're looking globally. 5 out of the last 6 acquisitions we've done in the last 24 months have been outside the U.S. We've been in India and South Africa and now in Germany, et cetera, so looking pretty broadly and we're excited about what's out there in front of us. 
Operator: Your next question is coming from the line of Beth Lilly, GAMCO Investor. 
Elizabeth Lilly: I wanted to just drill down a little bit on your Food Service Equipment business and particularly, just the dynamics on the hot side and what you're seeing in the competitive environment and just the weakness and what's your -- where you see the opportunity in terms of improving the margins and what you're doing to improve the returns on that piece of your business. 
Roger Fix: Okay. Well, there really hasn't been a significant change in the competitive landscape. The situation is really all about the key customer accounts that you've historically had your largest penetrations at and what are they doing in terms of their growth. Candidly, the Yum! Brands has been a significant part of what we have historically relied on for growth in our Cooking Solutions area, Taco Bell and Pizza Hut, KFC being really the 3 strongest contributors. As you know, they've really deemphasized, to some extent, their growth in the U.S. to preference of growth outside the U.S., particularly in China. So that's one of the biggest impacts that we have on the growth that we've seen there. Having said that, the products that we have, the technology that we have are very applicable in a broad cross section of chains, and as we mentioned in the script, in the refrigeration side, we've been much more spread in terms of our exposure, having pretty significant opportunities for the top 20 largest chains on the refrigeration side. So our direction on Cooking is to do much the same, to spread our exposure and our involvement amongst the largest food service chains. And the other side of it is, that particularly on the hot side, because we have a fairly significant countertop product offering. Nontraditional retail outlets, such as convenience stores -- as you know, convenience stores over the last 4 or 5 years, the 7-Elevens of the world have expanded pretty dramatically their prepared food offering, and if you think about it, most of that equipment is what we call countertop, hotdog rollers, toasters, bun warmers, things of that nature. And we have a very, very solid offering. So we're also looking and have been successful. We're penetrating 7-Eleven, example, pretty heavily right now. But we think there's other opportunities, particularly as the convenience stores adopt more and more of these food programs. 
Elizabeth Lilly: So if you look at the opportunities on the Food Service side in terms of the margins overall, you saw an increase this quarter. Where do you see this business getting to? 
Roger Fix: We haven't given any real specific guidance on that, but the average for the industry is sort of in that 13% OI margin. Depending on the mix of hot and cold, you could hear expectations you can use above that or below that, but again, if the average is in that 13% range, you can see that we have opportunities for improvement. 
Elizabeth Lilly: Okay. And so it's not unreasonable to expect you to be able to get to 13% eventually? 
Roger Fix: I guess so. We're trying to improve our margins. 
Operator: Your next question is coming from the line of Jason Nacca from Sidoti. 
Jason Nacca: My first question is regarding the last quarter, we saw some weakness in drugstores. Could you update us on the status of these venues? 
Roger Fix: The drugstore trend has been in place for probably the better part of 12 to 18 months. If you -- the 3 biggies that we work with is Walgreens, CVS and Rite-Aid. Walgreens, if you go back 10 years and looked at what they were doing, they would typically build between 400 and 450 stores a year. About 2, 3 years ago, they took a change in approach, and rather than driving their top line through as many new stores, their focus has been more about driving increased sales out of their existing stores. So they've reduced their number of stores down in the 200 to 250 range roughly. But that's been in our run rate for the better part of 12, maybe 18 months. CVS has really taken a more aggressive approach towards new store sales and again, we've benefited from that. We're basically sole-sourced at both Walgreens and CVS as it relates to their refrigeration products, be it a walk-in cooler with merchandising front-end at Walgreens or uprights and walk-ins at CVS. So the other thing I can say about that channel, it's not unlike the convenience store comment I made on the Cooking side. Again, a retailer that's trying to improve product sales and margins from their footprint and you'll see innovation at the drugstore side as they bring in different kinds of food products that they sell alongside of the pharmacy items and dry goods that they're selling. So there's opportunities to add cooking -- or excuse me, Food Service devices in those stores. More recently, as an example, Walgreens is announcing a new concept, a healthy store idea they're rolling out on a limited basis, and we're selling quite a large number of rack refrigeration units into those stores as well. So those are the opportunities, even in the existing stores, where we can come back in and add more product and more value. 
Jason Nacca: Now regarding the Hydraulics Group, due to your plans to further expand your Chinese facility there, are you beginning to see any additional penetration in the local Chinese market for these telescopic products? 
Roger Fix: The local Chinese market has been a real disappointment, really, over the last 2 or 3 quarters. When China began to tighten the credit controls and lending standards, our customer base in China was pretty significantly affected. Our customer base is what they call refitting factories that basically take a truck chassis, mount a dump body to it and the Hydraulics and the equivalent of a small business here in the U.S. and -- although they're quite large in many cases. So they've been impacted by the credit crunch over there. So our growth has really been in the export market out of China, going into Asia Pacific. We've got quite a nice penetration into Thailand, into Australia. We've done reasonably well in the Northern part of South America, Peru. Certainly, Mexico has been strong for us, as well as a different product line. Our traditional product line is what is known as a telescopic hoist. We're making rod cylinders, engineered rod cylinders, not the kind of commodity items that you would see in mining and agriculture, but engineered rod cylinders that are used in more broad applications, refuse and material handling, compacting and applications of that nature. So our success there has really been in the export, as well as in new products. 
Jason Nacca: Okay. And my last question is regarding Europe. Now that you are beginning to become more entrenched in the region from the Meder acquisition, are you seeing any other pockets of strength or any outlook on Europe regarding other product lines? Or you could also comment on Electronics as well. 
Roger Fix: Well, again, our strategy is one -- or part of our strategy, I should say, is to enhance the geographic footprint of all of our businesses and Europe is just one part of that strategy. So again, we're looking broadly at not only in Europe, but the emerging economies. If you think about it, we did Metal Spinners a year ago, a little over a year ago. They were in the U.K. or they are in the U.K. They give us exposure into the European applications for Engineering Technologies. We did Meder Electronics, which gives us exposure into Europe. So we're looking farther [ph]. Europe is not an exclusive focus by any stretch, but we do think there are opportunities there as well as, we mentioned, Engraving is more of an emerging market focus. So you'll see us there in Asia Pacific, Brazil, China. 
Operator: [Operator Instructions] Your next question is coming from the line of John Walthausen from Walthausen & Co. 
John Walthausen: Yes, a couple of questions. On pensions, could you tell me how much more the expense is this year than last year and what's your level of contributions that you expect to make this year? 
Roger Fix: The pension expense is going to go up about $0.13 year-over-year. We'll see it in our K. We made a $6 million contribution in June, we made another $3.3 million contribution this month and we're good, Tom, through fiscal… 
Thomas DeByle: 2016. 
Roger Fix: And we're good through fiscal 2016. I think you're familiar under the Highway Bill there were some new rules providers that relates to funding requirements and under those rules, and this is in our K, we're good now through 2016. 
John Walthausen: Okay, great. And on acquisitions, are all the segments, I guess, except perhaps Electronics, in position as far as where their strategy is and where their management teams are to do meaningful acquisitions if they -- you can find them this year? 
Roger Fix: I think they are. I think the point you're making there is our capacity from a management standpoint to absorb an acquisition and we've been, hopefully, I think systematic about that. Again, we did the Metal Spinners one, which is in the Engineering Technologies Group, a little over a year ago. We've let them, if you will digest and work the synergies that we identified pre-acquisition. I think they've done a nice job of doing that. We've been looking for some time. We've done little ones, little bolt-ons, in the metal area for Electronics several years ago, but we haven't done anything significant. So we now have done Meder which is going to, again, require some time for them to digest and do the integration. So the point you're making is well put, and that is, we want to look at all of our business units and we look at the capacities of the teams. They're all capable of doing acquisitions. We've basically done acquisitions in every area except for Hydraulics, but again, we think we have the capabilities to do those acquisitions. It's more a matter of what have we thrown at them lately in terms of both organic initiatives and as well as acquisitions. We want to make sure that we provide sufficient management time and resource to do those things properly. 
John Walthausen: Great. And I guess with regard to Hydraulics, you made an interesting point that $100 million was kind of a good size for a company to be, or a product line to be competitive or a product area. Does Hydraulics have enough strength to take themselves to $100 million with some acquisitions? It would make sense? 
Roger Fix: I think they do. Yes, I think they do. We have a nice solid team in that business and they're -- again, they've done a nice job in China, expanding that facility I think demonstrates their ability to think globally. Again, a lot of the penetration that we've seen has been international in Hydraulics. I mentioned Australia, I mentioned Thailand, I mentioned South America. So yes, it's more a matter of where would you go. The European market and the U.S. market are pretty mature in Hydraulics. So again, we think, particularly the fact that telescopic hoists are kind of our core, they typically go in dump trucks, dump trailers. That speaks to the infrastructure build, highways, bridges, that kind of stuff, dams, and infrastructure build tends to go towards emerging economies, and that's why we went in China in the first place. We have a keen interest in Brazil and again, we have to figure out what's the best way to grow that business beyond where we're at. 
Operator: At this time, I'm showing no further questions in queue. I would like to turn the back call over to Mr. Roger Fix for any closing remarks. 
Roger Fix: Well, we appreciate everyone's interest and all the questions. Thank you very much, and we look forward to speaking to you again next quarter. Thank you. 
Operator: Ladies and gentlemen, that concludes today's conference. We thank you for your participation. You may now disconnect. Have a great day.